Operator: Hello, and welcome to the Employers Holdings, Inc. Second Quarter 2023 Earnings Conference Call and webcast. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to your host, Lori Brown, Executive Vice President, COO, General Counsel and Secretary. Please go ahead, Lori.
Lori Brown: Thank you, Kevin. Good morning, and welcome, everyone, to the second quarter 2023 earnings call for Employers. Today's call is being recorded and webcast from the Investors section of our website where a replay will be available following the call. Presenting today on the call will be Kathy Antonello, our Chief Executive Officer; and Mike Paquette, our Chief Financial Officer. Statements made during this conference call that are not based on historical facts are considered forward-looking statements. These statements are made in reliance on the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission. All remarks made during the call are current only at the time of the call and will not be updated to reflect subsequent developments. The company also uses its website as a means of disclosing material nonpublic information and for complying with disclosure obligations under SEC's Regulation FD. Such disclosures will be included in the Investors section of the company's website. Accordingly, investors should monitor that portion of the company's website in addition to following the company's press releases, SEC filings, public conference calls and webcasts. In our earnings press release and in our remarks or responses to questions, we may use non-GAAP financial metrics. Reconciliations of these non-GAAP metrics to our GAAP results are included in our financial supplement as an attachment to our earnings press release, our investor presentation and any other materials available in the Investors section on our website. Now I'll turn the call over to Kathy.
Kathy Antonello: Thank you, Lori. Good morning to everyone, and thanks for joining us today. To start this morning, I'll provide some highlights of our second quarter 2023 financial results and then I'll hand it over to Mike for further details on our financials. Prior to Q&A, I'll touch on some of our recent accomplishments that I'm particularly proud of. Our second quarter results were excellent. Significant premium growth, strong net investment income and net investment gains drove a 59% increase in revenue year-over-year. Our net written and earned premiums were up 10% and 7%, respectively. Wage increases a strong labor market, our thoughtful appetite expansion program and our new sales and underwriting operating model each contributed to this growth. As a result of these efforts, we ended the quarter with yet another record number of policies in force. And just last week, we celebrated achieving over 125,000 policies in force. Our net investment income was up 34%. The sharp increase was primarily due to higher market interest rates impacting bond yields and higher invested balances of fixed maturity securities. We earned $27 million of net investment income during the quarter, an amount highly consistent with that of the quarter, with each being meaningfully higher than any other quarter in our history as a publicly traded company. Our income statement further benefited from $11 million of net investment gains, a welcome swing from the $50 million in losses we experienced a year ago. From an underwriting standpoint, our midyear full reserve study led to the recognition of $20 million of net favorable prior year loss reserve development from our voluntary business. That action, coupled with our continual focus on commissions and other underwriting expenses yielded a consolidated combined ratio of 92%, which is a terrific result. Lastly, we recently terminated the lease associated with our former corporate headquarters in Reno, Nevada, which Mike will speak to in more detail. This action will serve to continue our meaningful reduction in underwriting expenses. With that, I'll now turn the call over to Mike, and I'll return to provide my closing remarks. Mike?
Michael Paquette: Thank you, Kathy. Gross premiums written were $198 million versus $179 million a year ago, an increase of 11%. The increase was primarily due to higher new and renewal business writings and an increase in final audit premiums. Net premiums earned were $177 million versus $165 million a year ago, an increase of 7%. Our losses and loss adjustment expenses were $91 million versus $93 million a year ago. The decrease was primarily the result of net favorable prior year loss reserve development recorded in connection with our midyear reserve study. We recognized $20 million of net favorable development during the quarter, versus recognizing $10 million of net favorable development a year ago. Commission expenses were $24 million, which were largely consistent with our commission expenses of a year ago. As a result of the increase in our earned premium, our consolidated commission ratio was 13% this period, down from 14% a year ago. Underwriting and general and administrative expenses were $46 million versus $39 million a year ago, an increase of 17%. The increase was primarily due to higher payroll-related expenses as well as higher policyholder dividends and bad debt expense. As a result of the increases in these expenses, which were partially offset by the increase in our earned premium, our consolidated underwriting and general and administrative expenses ratio was 26%, up 24% from a year ago. During the quarter, we incurred a $9 million pretax nonrecurring charge in connection with the early termination of the lease associated with our former corporate headquarters in Reno, Nevada. This previously announced action was undertaken as part of our ongoing review of our facility needs and is a tribute to the success of our work-from-home model. From a reporting segment perspective, our Employers segment had pretax income of $47 million versus a loss of $12 million a year ago, and its resulting calendar year combined ratios were 87% and 92%, respectively. Our Cerity segment had a pretax loss of $2 million for the quarter versus a loss of $3 million a year ago. Turning to investments. Our net investment income was $27 million for the quarter versus $20 million a year ago, an increase of 34%. The increase was due to higher bond yields and a higher invested asset balance as measured by amortized cost. Our fixed maturities currently have a duration of 3.9, an average credit quality of an A. Our weighted average book yield was 4.1% at quarter end, which is up sharply from 3.3% a year ago, and our new money rate today is north of 5%. Our net income this quarter was favorably impacted by $9 million of net after-tax unrealized gains from equity securities and other investments, which are reflected on our income statement and our stockholders' equity was unfavorably impacted by $15 million of net after-tax unrealized losses from fixed maturity securities, which are reflected on our balance sheet. Since the end of the first quarter, we had repurchased $36 million of our common stock at an average price of $37.89 per share, which served to exhaust our prior stock repurchase authorization. In response, our Board authorized a new stock repurchase program yesterday to allow for repurchases of up to $50 million of our common stock from July 31 of this year through December 31, 2024. And finally, yesterday, our Board of Directors declared a third quarter 2023 regular quarterly dividend of $0.28 per share. The dividend is payable on August 23 to stockholders of record on August 9. And with that, I'll turn the call back to Kathy.
Kathy Antonello: Thank you, Mike. I'm pleased to say that with our current levels of written premium, our focus on expense management and our prudent capital management, we've significantly improved our key operating metrics in recent quarters. Today, our premium to surplus ratio is 80% and climbing up from just 55% when I took the helm in early 2021. And our consolidated underwriting and general and administrative expense ratio has been at a steady 26% or below, down from 30%. During my tenure as CEO, we've also lowered our current accident year loss and LAE ratio by 1 percentage point. In closing, as a unique specialist and small business workers' compensation, we've never been better positioned to further benefit from the favorable trends and opportunities that we're seeing, and we remain highly confident in our continued success.  And with that, operator, we will now take questions.
Operator: [Operator Instructions] Our first question today is coming from Mark Hughes from Truist Securities.
Mark Hughes: Kathy, anything new or interesting when you looked at the midyear study, you obviously had a nice reserve gain. Anything you noticed about how losses are developing?
Kathy Antonello: Yes. Mark, thank you for the question. So in terms of the favorable prior year loss development that we recognized this quarter, most of that development arose from accident years 2019 and prior. We have a very conservative reserving philosophy. And our current provision does recognize the possibility of an increase in the implicit inflation that's built into our triangles. So we continue to hold that explicit inflation provision, we look at several scenarios and have reflected that in our booked reserves for over a year now. But we complete another full loss reserve study at year-end. And so we'll be taking a look then and seeing how the losses emerge over the second half of the year.
Mark Hughes: Anything on the economic front, I think your audit premiums continue to be pretty good. Are you seeing any sort of changes in payroll, any midterm adjustments, anything like that, that might bear on the economic health as we sit here today.
Kathy Antonello: Yes. So our audit premium pickup continues to be really healthy. We kept our audit accrual flat this quarter at around $39 million. We had almost $8 million in audit pickup. So that was really strong for the quarter. And we're continuing to see that into July of this year. We also recognized about $12 million in endorsements and another about $1.5 million in noncompliance premium. We're continuing to see some strong wage increases come through as a result of employment levels and especially in the leisure and hospitality industry. So we do think we will continue to see these strong tailwinds in the future. The unemployment rate is hovering at about 3.6%. So that's really positive for workers' compensation. And yes, I mean, I'm feeling pretty good about the next few quarters when it comes to the potential for audit pickup.
Mark Hughes: Any observations on the competitive environment?
Kathy Antonello: Well, in terms of pricing, the environment hasn't changed too terribly much. For the business sectors and the premium sizes that we write, I continue to characterize the environment as competitive and especially for the smallest policy sizes. We are having more success finding policies that are that are slightly larger than our average policy size, which is still around $5,200. We're attributing that success to our new sales and underwriting operating model. The rate decreases that we're seeing tend to be more moderate. For the policy side, it's over [ $10,000 ] right now. When we looked at our renewal book, we saw an average rate decrease of slightly below 2%. And -- and that was made up of a premium increase of about 7% and exposure of about 9%.
Mark Hughes: And then on the expense front, any particular initiatives to bring that down? How should that trend over the next few quarters?
Kathy Antonello: Yes. We continue to work to bring our expense ratio down. I do feel like there's more we can do. We announced this month, the reevaluation of our real estate footprint and the exit of our Reno, Nevada headquarters, so that will be an improvement in our ratio going forward. But at this point, there are a couple of things that need to happen and that we're focused on and that's increasing our premium without sacrificing profitability. And then a lot of digital initiatives that we're working on that are going to allow for automation and scalability. And those 2 things together are what's going to drive our expense ratio improvement going forward.
Operator: Next question today is coming from Matthew Carletti from JMP Securities.
Unidentified Analyst: This is Carl calling in for Matt. And my first question is really just regarding the Cerity top line. Can you comment on the growth?
Kathy Antonello: Yes, sure. So Cerity is chugging along. And at the end of the second quarter, premium had increased about 166% year-over-year was up to $7.2 million. We are attributing that growth to our appetite expansion effort and Cerity's enhanced backing capabilities. So they continue to generate increasing policy flows, and we're seeing significant interim companies that are looking to collaborate with Cerity like our recent Simply Business partnership that we announced.
Unidentified Analyst: Perfect. And then to just go back briefly into the prior period development. I know it's multiple years. But is there a certain claim aspect that may be driving it? Is it a medical drive? Or is it an indemnity price that you're seeing?
Kathy Antonello: Yes. It's mostly being driven by lower medical development that is emerging. And as I mentioned earlier, it's coming from accident years 2019 and prior, and it's pretty widespread across those accident years. In regard to the more recent accident years, we have sort of set it and forget it philosophy for a few years because of the long-tail nature of workers' compensation and we'd like to see those losses emerge for a little bit and settle in before we move the more recent years. But -- yes, that's high level what we're seeing, and it is mostly coming from the medical side.
Operator: [Operator Instructions] Our next question is coming from Bob Farnam from Janney.
Bob Farnam: So on the expense side, with the -- your expenses for the headquarters down, I mean, you still need to have office space. I'm just curious how much of an impact that's going to have in the underwriting expenses going forward. Obviously, with the $9-plus million of savings on that side, but what should we expect for savings going forward?
Michael Paquette: So Bob, I'll take that. And the exit of our Reno space, all in is going to save us about $3 million per year from here on out. However, we are going to -- or we plan to move into much smaller platform in Reno in probably December of this year. that amount of space will be about 1/10 of what we had previously and will cost about 1/10 of what we had previously. So I think going forward, starting in December, the run rate would be about $2.5 million to $2.7 million of annual savings associated with that real estate swap.
Bob Farnam: Okay. Great. Great. And while you're answering questions, I have another question for you on the net investment income kind of as you unwind your FHLB investment strategy -- and with the offset with the new money yield still north, just kind of curious what investment income is going to look like over the next 6 months, a year?
Michael Paquette: Well, right now, we're between $26 million and $27 million. I'd like to think we can try to get close to that next quarter knowing that we have as much as $100 million of CLOs coming off of our books winding down that Federal Home Loan Bank trade that we had. But we are, again, seeing higher yields. We're looking to see if there is a way in which we can substitute and benefit from a future plan along the lines of what we did with the CLO program. But I'm hoping that we can come in at or close to between $26 million and $27 million next quarter. It's all going to depend on timing of the reinvestment of lower-yielding securities that are coming off, and how quickly we take down the remaining CLOs associated with the Federal Home Loan Bank trade. So I wish I could give you more information, but we'd very much like to maintain where we are right now. I don't think that we'll increase our net investment income next quarter.
Bob Farnam: Right. Got it. So you're basically thinking that they should offset each other going forward. That's what the plan is. Cerity, I know every quarter, I asked about Cerity. So -- what lessons have you learned as Cerity gets up to speed? Or thinking it another way, what would you have done differently if you were creating Cerity today?
Kathy Antonello: So I think looking at Cerity where our focus is right now is integrating a lot of the back-end capabilities on the employer -- with employers so that we can bring that expense ratio down for Cerity over the course of the next year or so. So that's where our focus is now. I think in hindsight looking at -- there was a concern about channel conflict. And I think in hindsight, 1 of the lessons learned is that it's not as prevalent as we thought it would be. So we could have integrated some of these back-end capabilities sooner.
Bob Farnam: Interesting Okay. Good for that. And last question for me is I know it may be too soon to know, but your expansion classes of business, just kind of curious how they're performing relative to expectations. Are there loss ratios different from your established book? Is the competition different? Just kind of get a feel for what those expansion lines are -- how they're performing?
Kathy Antonello: Yes, it's a great question. And we do look at them separately. We are not seeing those classes emerge any differently from a loss ratio standpoint. They're highly consistent with our other classes that we've been in for quite some time. And we're still, as I've mentioned earlier, attributing a lot of our growth to those expanded classes. So yes, right now, no concerns from a loss ratio standpoint on that business.
Bob Farnam: Okay. And the competition is basically from the same peers for these types of risks.
Kathy Antonello: Yes. Largely, I would agree with that.
Operator: We reach end of our question-and-answer session. I'd like to turn the floor back over to Kathy for any further closing comments.
Kathy Antonello: Okay. Thank you, Kevin, and thank you all for joining us this morning. We look forward to meeting with you again in October.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.